Operator: Good day everyone and welcome to today's Minas Buenaventura conference call. As a reminder today's call is being recorded. At this time I'd like to turn the call over to Pete Majesky. Please go ahead.
Pete Majeski, Corporate Communications: Thank you Mark and good morning everyone. Welcome to Compania de Minas Buenaventura's Fourth Quarter 2005 Earnings Conference Call. Joining us today from Lima, are Mr. Roque Benavides, Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; and other members of Buenaventura's senior management. They will be discussing Buenaventura's results for the press release distributed yesterday evening. If you’ve not received a copy, please call us in New York at 212-406-3694 and we will e-mail it to you immediately. Before we begin I would like to remind you that any forward-looking statements made today by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the last page of the Company's press release in the disclaimer, and we ask that you refer to it for guidance. It is now my pleasure to turn the call over to Roque Benavides. Mr. Benavides, you may begin.
Roque Benavides Ganoza, Chief Executive Officer, President, Director and Deputy Director of Yanacocha: Good morning to all. Thank you for attending this end of the year and fourth quarter conference call of Buenaventura. We are pleased to announce exceptional quarterly and annual results driven by record production at Yanacocha and new equity accounting on Cerro Verde, as well as excellent results from our own direct operated units. Our net income was $96.1 million in this quarter or $0.76 per ADS, which represents an increase of 73% compared to fourth quarter of ‘04. Total EBITDA was $206 million, which represented a 46% increase when compared to fourth quarter '04. EBITDA from Buenaventura direct operations was $37.7 million, 9% higher than fourth quarter '04. In fourth quarter '05, net sales were $18 million, a 3% decrease when compared with 82.5 million reported in fourth quarter '04, due to the late in gold delivery which remained in inventory until January. In terms of our production and operating costs, Buenaventura equity production during fourth quarter '05 was 91,138 ounces of gold, 2% higher than the 89,525 ounces reported in fourth quarter '04. And 3,478,000 ounces of silver, a 3% increase when compared to 3,389,000 ounces in fourth quarter '04. Equity production from the accumulated 12-month period was 359,968 ounces of gold and 13,482,000 ounces of silver. This represented an increase of 9% in gold production and 5% increase in silver production compared to 2004. At Orcopampa, total production in fourth quarter '05 was 58,948 ounces, a 2% increase when compared to 58,000 in fourth quarter '04. For 2005, total production was 233,000 ounces, a 10% increase when compared to 2004. Cash operations cost increased 12% to $128 per ounce in fourth quarter '04 to $143 per ounce in fourth quarter '05. Best explained by royalties paid to the government totaling $600,000, which represented $9.4 per ounce of gold. At Uchucchacua, total silver production during fourth quarter '05 was 2,513,000 ounces, a 1% increase when compared to 2,481,000 ounces in fourth quarter '04. For 2005, total silver production was 10,213,000, a 4% increase when compared to 2004. Cash operating cost in the fourth quarter '05 increased 26% from $2.89 per ounce in the fourth quarter of '04 to $3.65 in the fourth quarter '05. This was mainly explained by the purchase of energy from the national to replace Buenaventura's generating capacity due to maintenance at the Paton hydroelectric plant, which represented $0.27 per ounce of silver. A higher impact of silver containment reductions due to higher silver prices of $0.21 per ounce, and total royalty of $200,000 paid to the government, representing $0.06 per ounce of silver. At Antapite total production during the fourth quarter '05 was 25,700 ounces of gold, in line with the 25,700 ounces produced in the fourth quarter '04. For 2005, total gold production was 104,000 ounces, a 7% increase when compared to 97,000 ounces in 2004. At Colquijirca, total zinc production was 16,000 metric tons in fourth quarter '05, a 12% increase when compared to 14,400 metric tons in the fourth quarter '04, due to higher volumes of ore produced. Total silver production during the fourth quarter '05 was 1,565,000 ounces, a 66% increase when compared to 942,000 ounces in the fourth quarter '04. In terms of our reserves, as of December 31, 2005, equity gold reserves including Yanacocha increased 2% from 15 million ounces in 2004 to 15,200,000 ounces in 2005. Equity silver reserves at the end of 2005 were 107.9 million ounces, which represented an increase of 32% when compared to 81.8 million ounces in 2004. Equity copper reserves, including Yanacocha and Cero Verde increased 75% from 1.3 million short ton in 2004 to 2.3 million short ton in 2005, essentially due to the fact that we have included the Minas Conga reserves in these figures. In terms of our operating expenses, general and administrative expenses for the fourth quarter '05 were 11.4 million, a 90% increase compared to 6 million in the fourth quarter '04. This increase was mainly due to 3.6 million provisions for the Company long-term compensation, which does not represent a cash disbursement. Accumulated general and administrative expenses for the 12-month period were $32.8 million, a 40% increase when compared to the 23.4 million reported for the same period of 2004. Exploration cost in non-operating areas during the fourth quarter '05 were $8.4 million, a 48% increase compared to $5.6 million during the fourth quarter '04. In 2005, exploration costs in non-operating areas were $26.8 million in line with the 2004 figures. In terms of our operating income for 2005, operating income was $96 million, a 10% decrease when compared to 106 million reported in 2004. Buenaventura's income from non-consolidated affiliates was $124 million during the fourth quarter '05, an increase of 115% when compared to $57.8 million reported in the fourth quarter '04. This increase is explained by higher costs obtained at Yanacocha and the new contribution of Cerro Verde. For 2005, income from non-consolidated affiliates was $253 million, an increase of 45% compared to 175 million reported in 2004. At Yanacocha, fourth quarter '05 gold production was 1,064,000 ounces of gold, an increase of 26% when compared to fourth quarter '04. Gold production for 2005 was 3,333,000 ounces, an increase of 10% when compared to 3,017,000 ounces in 2004. Gold cash cost at Yanacocha during fourth quarter '05 was $149, which represented a 10% increase compared to the gold cash costs of $136 in the fourth quarter '04. Net income at Yanacocha during the fourth quarter '05 was $205 million, a 54% increase when compared to fourth quarter '04 figures, due to higher sales. For 2005, net income was $525 million, an increase of 35% compared to $390 million reported in 2004. In fourth quarter '05, EBITDA was $349 million, an increase of 43% compared to fourth quarter '04. Talking about Cerro Verde, at Cerro Verde in fourth quarter '05 copper production was 24,000 metric tons, a 14% increase when compared to fourth quarter '04. For 2005, copper production totaled 93,550 metric tons. Net sales at Cerro Verde increased 84% from $64 million in the fourth quarter '04 to $119 million in fourth quarter '05, mainly due to an increase in the average price of copper from $1.40 to $1.95 per pound, as well as higher copper sales delivery. For 2005, net sales were $359 million, which represented an increase of 38% compared to fourth quarter '04 -- or for total, sorry for total 2004. In fourth quarter '05, net income reached $113 million, a 381% increase compared to fourth quarter '04. For 2005, net income was $233 million, 166% increase compared to 2004. Capital expenditures for 2005 were $340 million, of which 294 million was expended for the construction of the primary Sulfide Project, and $9.7 million for the Pillones dam. In terms of our net income this quarter's Buenaventura net income was $96 million, representing $0.76 per ADS, a 73% increase compared to fourth quarter '04. For 2005 net income was $274 million, an increase of 31% when compared to $209 million in 2004. In terms of our hedging operations, I am pleased to inform that we have just issued a new hedge book for Buenaventura with the figures as of March 1, 2006, that you should have in your mail. The total hedge book mark to market value as of December 31, 2005, was negative $450 million. The mark to market value for the derivative instrument was negative $66 million, while mark to market value of physical delivery contact was negative $384 million. During fourth quarter '05, the Company executed 15,000 ounces of gold and 334,000 ounces of silver in derivatives instrument. Essentially we have very little silver derivatives left. In terms of our explorations we are very pleased to inform that in Poracota in the Huamanihuayta sector we advanced the added existing and diamond drilling in order to delineate high-grade reserves in Manto Aguila and Manto Dorado. We expect to deliver our reserve report by April and complete a scoping study to be developed with Teck Cominco by the end of July. However, we plan to start a pilot operation in the second half of 2006, mainly we are talking of early October or November we will be already producing some ore from Poracota. Today Buenaventura holds 75% stake in Minas Poracota after exercising its option to purchase 50% from Minera Suroeste and another 25% from Teck-Cominco Peru. In terms of Marcapunta within Brocal, the main objective in 2005 was to systematically assay the reshape -- and reshape copper, silver, and gold distribution. We found interesting expansions in this little known sector with 3,200 meters of diamond drilling in 19 holes, reporting 2 million metric tons with 1.9% copper. In Marcapunta North, we also drilled 16 holes accumulating 3,600 meters of diamond drilling. In La Zanja, we drilled 1,600 meters in section 13 of the Cerro La Zanja prospect, finding a large and relatively deep body, 100 meters to 300 meters from the surface. We disseminated copper, sulfide, and gold. The most represented this section of the organization assayed between 0.3% and 0.8% copper with 0.3 to 0.4 grams per ton of gold for sections between 40 and 200 meters. At the present time, we are drilling the first two holes in the Cerro La Cueva, which have a higher indication of our disseminated mineralization in the surface and the safe opens in the business. Essentially in La Zanja we are working with no problems with the local community. You may remember that two years ago we had some problems. We are back, we are drilling, and we are essentially delineating all the geometry of the deposit. In terms of project development, in Uchucchacua the construction of the cyanidation plant is 85% completed. The plant is expected to be completed during the second quarter of 2006 with an estimated total investment of $8.8 million, and the possibility of producing an additional million ounces from what we produced in 2005. At Marcapunta, at the end of the fourth quarter '05, the advance of the main decline was 233 meters, 64%, and the exploration decline was 131 meters, 36% advance. We expect an advance of 352 meters in the main ramp in the next quarter. Total investment was $1.14 million for the period and $4 million for 2005. In addition, in Marcapunta North, a pilot plant to treat 1,000 metric tons is expected to begin full operation in the third quarter '06, essentially in August of 2006. We had our Board meeting Buenaventura yesterday, March the 2nd, and the resolutions that were passed were essentially the approval of the financial statements ended December 31, 2005. And the approval of a cash dividend of $0.22 per share to be approved at the shareholders meeting to be held on March 30, 2006, following the policy of paying dividends of Buenaventura and we have been following for the last seven years. With this we are open to any questions that you may have. Thank you.
Operator:
Operator Instructions:
Q - John Bridges: Hi, Roque, everybody. I just wondered your, with Cerro Verde, congratulations on the investment, how is that going to be booked into earnings over the next two or three years? I seem to remember that there will be a sort of holdback for the next two or three years as the investment is paid down, or the debt on the investment is paid down. Could you detail that so we get a better sense as to what contribution to expect in the next year or two?
A - Roque Benavides Ganoza: Well, what we are going to do is to equity account, and that is the way it's going to be accounted. The project, and we were discussing this yesterday at the Board meeting, essentially is absolutely financed, but we have the feeling that with this exceptional copper prices, the financing is going to be paid very quickly and we will be receiving cash from Cerro Verde sooner than later, no?
Q - John Bridges: So the cash dividends would start to flow in -- what's your current estimate?
A - Roque Benavides Ganoza: A couple of years. I think the return of investment is going to be very quick if the prices of copper accompany it, no.
Q - John Bridges: Right. Are there copper hedges on the sales that we can factor into our models?
A - Roque Benavides Ganoza: No, there are no copper hedges.
Q - John Bridges: Okay. Thank you.
Operator: Our next question will come from Andrea Weinberg with Merrill Lynch.
Q - Andrea Weinberg: Hi, Roque. Congratulations on the results. First question on the reserve announcement, the 32% increase in silver and gold being flat year-over-year, just want to understand how much of this is due to the higher metal prices that you're using and the industry is using to calculate reserves, and how much this is due to the exploration progress at your existing operations?
A - Roque Benavides Ganoza: I don't have the exact figure, but essentially, the reserves have not increased because of prices. Most of the increasing reserve is due to our exploration effort. In the case of silver in Uchucchacua, we have far more than we placed reserves, and this is due to the exploration in different areas of the mine, and also in-depth. In the case of gold reserves, it is essentially the participation, I would say, of Mina Conga, in the case of Yanacocha, but Orcopampa has also more than replaced the reserves that we had at the start of the year. We have produced close to 240,000 ounces, and we have more than replaced that, and we keep finding higher grade ore. So we are quite excited, and when we said that we had a very good year, you see, this is a mining company talking, and not only financiers. We believe a good year is when you do replace reserves, when you have had a good year of production, and of course you have had good economic results for the year.
A - Carlos Galvez: If I may add, Andrea, the point is that the best answer, in terms of silver, is that we are not reducing the grade of our reserve. The grade of our reserves as of December '04, were 17 ounces per short ton, and now we are reporting in sulfides 16.5. Not a big deal. And in oxides, we are reporting in excess of 21, close to 22 ounces per short ton.
Q - Andrea Weinberg: Okay. Quick question on your -- you currently have like $100 million in net cash in your balance sheet. Just wanted to have an idea what you think is the proper level of cash, and that assuming the potential development of your future projects?
A - Roque Benavides Ganoza: Essentially we are going to distribute -- the dividend payout is going to be in the order of $30 million. We are looking for investing properly the excess cash that we may have, and just to ratify that it is our job to invest in the best possible way and if we are not able to do that, we will follow the policy of giving back to the shareholders, if needed, in terms of exceptional dividends, but we hope we will not be forced to do that. We will try to invest this in the best possible way, and we are looking for differential alternatives.
Q - Andrea Weinberg: Okay. Thank you.
Operator: Daniel Altman with Bear Stearns is next.
Q - Daniel Altman: Hi. Good morning. I guess two questions today. One is, do you have guidance that you're willing to give for volumes and mine costs for 2006 kind of as Newmont did on their projects? And the second question is regarding the elections in Peru, do you think there's going to be a good outcome or a bad outcome depending on who wins the election, i.e. is there -- if Umala were to win, could that be a negative impact? And if, inversely, if Flores were to win, do you think that could help alleviate some of the issues you're having with social unrest in Peru?
A - Roque Benavides Ganoza: I think we can give you an estimate of cost in our mind. We expect Orcopampa to be producing, I would say, in the 140 to $150 cash cost. In Uchucchacua, it would be closer to $3, very close to $3. The fourth quarter '05 was an exceptional month for the reasons that we have already explained. In the case of Antapite, the cash cost is going to be in the order of $180, or close to $200, but essentially between 180 and $200. The case of Colquijirca, is I think the costs are going to be maintained, and we expect to have good results in Colquijirca. In the case of Poracota, probably the cost is going to be in the order of $200, due to metallurgical difficulties, so I would say those are the estimates we can give you at this point in time. In terms of politics, and I suppose that all my colleagues here will expect me to give the answer, and essentially coming back from the Nesbitt Burns conference early this week, all the investors were asking the same question. And our answer essentially is, relying on the polls at this point in time, Lourdes Flores is heading the polls. It is almost obvious, and nothing can be sure, that she is going to get to the second round, or the runoff, and when people are asked if Lourdes Flores will run against Alan Garcia or will run against Umala, the polls call for Lourdes Flores winning or beating the two of them. But having said that I think that more than the presidential election, the important thing is that Parliament passed a law last year by which no party that got less than 4% of the votes will have a representation in the Parliament of Peru. Today, to get a representation in Congress in Peru, you need to have more than 4% of the votes. This will make that the new Congress will be more concentrated in four or five political parties, and will make the job and the work of the Congress much better. I would say that we will have four or five leaders of the different groups with whom to talk and I'm talking of the civil society, in general, not only business. So personally I'm not -- certainly I'm not pessimistic I'm quite optimistic. To answer your question whether if Mr. Umala wins, certainly he has just given the highlights of what he's planning to do if he gets to be President of Peru, and I would like to see the next couple of months or couple of weeks what is going to be the reaction of the population to ideas that essentially are very left-wing, ideas that were with Mr. Velasco, the President that we had back in the 70s, certainly not very fashionable idea, and I think he has to clarify a number of things. If Lourdes Flores wins, I think she is certainly a person with whom we all feel comfortable. I will worry about the team that she will take to government if she wins. So it's not only a question of Umala or Lourdes Flores. I think we have to look at the team that they may bring. Alan Garcia is not discardable. I think Alan Garcia is also an element that has an opportunity, and he's a longtime politician, and I'm afraid that he also has a chance.
Q - Daniel Altman: Okay. Thanks very much. And just on the guidance, the cost guidance was very helpful. I wonder if you have volume guidance as well?
A - Roque Benavides Ganoza: Volume guidance is, I would say that Orcopampa will produce in the order of 250,000 ounces. Uchucchacua with the new cyanidation plant, I would expect in excess of 10.5 million ounces of silver. Antapite will essentially maintain its level of production. And from Poracota we will produce in the order of, I would say something in the order of 10,000 ounces this year, and next year we expect to produce in the order of 40 to 50,000 ounces for the whole 2006, and that will contribute, of course, to the overall production of the Orcopampa area. Plus, we will be in the position of producing some from Suroeste and from Lienetz, there are two properties adjacent to Orcopampa. Altogether, the area of Orcopampa I would be quite confident to say that in 2006, we will be producing very close to 350,000 ounces.
Q - Daniel Altman: Okay. Thanks very much.
Operator: Terence Ortslan, TSO and Associates have our next question.
Q - Terence Ortslan: Thanks. I've got to ask you about your hedge book mark to market as of now, what would that number be?
A - Roque Benavides Ganoza: What was that? Sorry?
Q - Terence Ortslan: Your hedge book mark to market in 2005 what would that be?
A - Roque Benavides Ganoza: What would that be? The mark to market? We mentioned --
Q - Terence Ortslan: For the end of the year.
A - Roque Benavides Ganoza: Sorry, this year?
Q - Terence Ortslan: 450 at the end of the year, what would that be, just prices?
A - Carlos Galvez: $517 per ounce of gold. That was the price we calculated the mark to market.
Q - Terence Ortslan: Okay. And the silver price used for that was at the time?
A - Carlos Galvez: 8.82.
A - Roque Benavides Ganoza: In the case of silver we have only 400,000 ounces left.
Q - Terence Ortslan: Can we go over the CapEx numbers for 2006 again please quickly?
A - Carlos Galvez: In terms of CapEx for our current operations, we consider the level of $30 million during year '06, and depending on the evolution of Poracota's project we could invest additional $10 million to improve the mainland area of our floatation plant in Orcopampa.
Q - Terence Ortslan: That's all for the year?
A - Carlos Galvez: Yes, that's all.
Q - Terence Ortslan: Okay. And your exploration budget is you're going to be flattish compared to last year, the non-mine exploration of 25 million or thereabouts for last year?
A - Roque Benavides Ganoza: We are going to be more concentrated. As we have explained to a number of our investors, we have -- as I may say, shift a little bit our strategy in terms of exploration, concentrating more in Brownfield exploration, and concentrating in those areas that have more expectation in terms of Greenfield exploration. The exploration process is like that. You start focusing more on a specific project, and in that respect, we are going to spend less in exploration overall in 2006 compared to 2005. Regardless of that, we are absolutely, absolutely committed to more and more exploration, but we are going to be very selective and very focused.
Q - Terence Ortslan: Because the way you reported is that non-operating area exploration was about 26, $27 million last year, where as mine site, it's somewhere else in the numbers. So how will these numbers workout at the end of today in terms of dollars of mine versus non-mine site?
A - Carlos Galvez: The expenses in exploration reported include the acquisition of the option, for instance, of Poracota, that gives $4.5 million, and a couple of other acquisitions. So it's more prospects that we build.
A - Roque Benavides Ganoza: And then of course, that's the reason why the higher figure in exploration outside of our own operating unit, and exploration in our operating unit goes to expenses, no?
Q - Terence Ortslan: Right. Right. Right. And what was then actually in your operating unit exploration last year?
A - Roque Benavides Ganoza: By unit?
Q - Terence Ortslan: No, just in total number. I'm just looking at the income statement here. Is it in there? Yes. You -- 30, $40 million? Is that what the number was?
A - Carlos Galvez: The round figure is on the order of $14 million per year in exploration expenses in our operating units.
Q - Terence Ortslan: Okay. Roque, can you talk about Yanacocha, the way you see the 2006 and 7 shaping up, the volume and also the cost numbers?
A - Roque Benavides Ganoza: That has been also a question that we have been asked many times during this last conference, and essentially, Yanacocha is managed by new month. We produced 3.3 million ounces this year. And the mine plan is to produce something between 2.4 and 2.5, maybe even 2.6, in 2006. And then after the range of production will go all the way from 1.6 to 2.5 million ounces in 2007. Essentially, we have mined already the off site ounces, and we are working essentially on the gold mill to process the transitional ores at Yanacocha, and we are also starting to work -- not intensively, but working on the Minasconga project to replace reserves. The times when Yanacocha produced close to 3 million ounces, or more than that, I think are over. We are heading for our production profile something between 2 and 2.5 million ounces, and I would suggest that we are not going to see 3 million ounces in Yanacocha at least in the near future.
Q - Terence Ortslan: But after the challenge of 2007, you can stabilize the mine between 2 and 2.5 million ounces in the midyear term, what do you think?
A - Roque Benavides Ganoza: I would say that it would be closer to 2 million ounces and we are going to be very cautious and certainly there's going to be some copper production coming on stream, but the -- the mine is becoming more difficult, and we are working on different alternatives.
Q - Terence Ortslan: When is the latest you can make a decision on the copper circuit?
A - Roque Benavides Ganoza: No, this is -- the decision is on the gold mill for the transitional ores.
Q - Terence Ortslan: Copper side.
A - Roque Benavides Ganoza: No, it’s not only copper side, because the huge copper side is Minasconga, no?
Q - Terence Ortslan: Right.
A - Roque Benavides Ganoza: And that is going to start the feasibility, I would say, 2007 or 2008, no?
A - Carlos Galvez: Minasconga is considered to begin construction year 2009 and 2010 to start production in the year 2011.
A - Roque Benavides Ganoza: It may be even before that as well. But, anyway, that's the plan at this point in time, yeah.
Q - Terence Ortslan: Good. We'll talk in more detail later, thank you.
A - Carlos Galvez: The gold mill--
Q - Terence Ortslan: The gold mill, yes, I'm aware of the administration.
A - Carlos Galvez: Yeah, the gold mill should be ready to begin in year '08.
Q - Terence Ortslan: Thank you.
Operator: Our next question will come from Tony Lesiak with UBS.
Q - Tony Lesiak: Just wanted to follow-up on some of the questions on Yanacocha maybe looking at on the capital side. Assuming you do go ahead with the gold mill can you comment on how much CapEx do you expect on a 100% basis to be looking at Yanacocha '06, '07, and '08?
A - Carlos Galvez: Well, if we talk about the gold mill specifically, it will demand an investment in the order of 245, $250 million specifically. And then the rest of the CapEx, sustained in CapEx, will be around $150 million per year, in addition to the gold mill.
Q - Tony Lesiak: Okay. Don't you need to go underground as well in some of the deposits that you're looking to bring on '08, '09, and there's going to be some additional CapEx after that?
A - Roque Benavides Ganoza: Well, this is something that we have been discussing internally in Buenaventura. We'll have a meeting with the people of Neuman Windler (phonetic), they will be coming to Lima in two weeks time and we will discuss this matter. But we believe that there's a lot of potential for underground mining higher grade ores, but the fashion in mining this date is to do everything open pit. But there are some areas of Yanacocha that will need to go underground, and we are all for that because we believe that there are some very good ounces that can be exploited underground. We -- in Buenaventura, we are underground miners, so we are always thinking in those terms, and we believe there is a lot of potential in that respect.
Q - Tony Lesiak: Could you comment on the range that you gave us for '07, the 1.6 to 2.5 million ounces? In what circumstance would it be 1.6? And in what circumstance would it be 2.5?
A - Roque Benavides Ganoza: Essentially what we would like is to have a more smooth and more smooth curve and have a long-term production and it all depends on the planning of the mine. I would -- we would recommend, and we have been recommending for some years now to moderate the amount of production from Yanacocha, and I would say that we will certainly insist that we don't get to 2.5 million ounces. We would prefer to have 2 million ounces in the long run if possible, in that order of magnitude. It all depends on the mine plan.
Q - Tony Lesiak: So if you do decide to go to 2.5 million ounces in '07, it would impact, I guess, your production longer term because you're just going to be fast-tracking some high grade, I guess?
A - Roque Benavides Ganoza: I would say that the 3.3 million ounces of 2005 will and are impacting the production levels for the future as well. Any production that you take out of the ground at some point in time impacts the future production.
Q - Tony Lesiak: Okay. I've got a question for Carlos, I guess. I was hoping you could walk us through the accounting changes for Cerro Verde. I had a tough time reconciling the quarterly cash flow statements. I know you've moved some accounting items around. Can you comment on what the earnings from Cerro Verde were in Q4 and whether that is a clean number and comment on perhaps the earnings going forward in Q1 and so on?
A - Carlos Galvez: Yes. Perhaps in general terms what we should do is just to take a straightforward, the percentage of our Buenaventura's stake in Cerro Verde on the net profits. That is typical way. But this time being the very first time we equity account Cerro Verde, we had, according to the rules, introduced certain adjustments. The point is that if you take the 18% of Cerro Verde profits, we get in the order of $48 million. But, we have to take away the amount that we included during the first four months of year '05 while we only held 9.1%. You have to take away close to $6 million of this profit that we have to account directly in the accumulated profits. And then one adjustment of close to $1 million for certain amortization reverse in certain amortization of excluding that were deferred. So the net figure we get by doing so is the $36.6 million we report. Having said that, while changing from just the investment accounting to equity accounting, we had to take away the $13.5 million we received as a cash dividend during the first quarter of '05, and that's why we have in orders an expense of 13.5, $13.4 million.
Q - Tony Lesiak: Okay. Can you comment on Q1, where we might be, in terms of contribution from Cerro Verde?
A - Roque Benavides Ganoza: Q1.
Q - Tony Lesiak: For first quarter of this year.
A - Carlos Galvez: Oh, first quarter of this year. Well, if we consider that we are talking about net profits of -- let me see -- close to 70 or $80 million per year -- per quarter, net profits, the contribution to our equity should be in the order of 20 -- between 18 to $20 million in the quarter. That depends on the prices and--.
Q - Tony Lesiak: So what were you saying is the translation in adjustments in the fourth quarter, the earnings were somewhat inflated versus your go forward quarterly earnings from Cerro Verde?
A - Carlos Galvez: Sorry, sorry. I made a mistake.
Q - Tony Lesiak: Okay.
A - Carlos Galvez: Should be in the order of 16 to $17 million per quarter. Sorry.
Q - Tony Lesiak: Okay, but still that number is bigger than the 36 million that you reported in the fourth quarter. So what you're saying is the fourth quarter, or the one that just recently passed, was somewhat inflated because of all the translation adjustments?
A - Carlos Galvez: Well, you have, in the fourth quarter, the net impact is, well, the 36, but taking away the 13 is in a different line. So the actual contribution in the fourth quarter was 23. So it will be slightly lower. And the prices will contribute because the prices today are higher than during the last quarter.
Q - Tony Lesiak: Okay. Thanks so much, Carlos.
A - Carlos Galvez: Okay.
Operator: Our next question will come from Alonzo Arimoro (phonetic) with Santander.
Q - Alonzo Arimoro: Yes, good morning, Carlos and Roque. Another question on Cerro Verde. Can you confirm if the 300 tons of copper that are expected to be produced by year-end '06, if that's still the case?
A - Roque Benavides Ganoza: Yes. The new plan, the expansion should be ready by October or November this year. We expect October, but we are prepared to get it in November and in fiscal year 2007 will have full production of the 300,000 tons.
Q - Alonzo Arimoro: Okay. Thank you. And also if you can give us any update on Cerro Quilish, have there been any new developments there?
A - Roque Benavides Ganoza: No, there has been no developments in Cerro Quilish. We continue working on all the social works, and remediation of some water canal and we are working with the local communities, nothing to inform in that front.
A - Carlos Galvez: Alonzo, just to complete the information about Cerro Verde, what we expect is to have full capacity production at Cerro Verde around July '07. So the first entire year with full capacity will be '08.
Q - Alonzo Arimoro: Okay. So production in '07 should be somewhere in between 100 and 300,000?
A - Roque Benavides Ganoza: No, closer to 300,000.
Q - Alonzo Arimoro: Closer to 300,000, okay. Okay, thank you.
Operator:
Operator Instructions:
Q - John Bridges: Hi, Roque, everybody again. I just wonder, the gold mill for the transition ore, when is that going to be reviewed and presumably authorized? And then -
A - Roque Benavides Ganoza: No, it has already been authorized. We are in the process.
Q - John Bridges: So it is going ahead. Okay. And then another political question, sorry to bother you on this one, but the three-way split in the -- that you think is going to happen in Congress in Lima, I just wondered to what extent that might create some sort of deadlock, coming from the U.S., we're very used to deadlock. And I'm just thinking that might continue to make it difficult for the mining industry in Peru. I just wondered if you could comment on that?
A - Roque Benavides Ganoza: Well, the thing is, if Ms. Flores with the current information that we account with, she is heading the poll with 34%, but his members of Parliament at this point in time are about 25% of the seats. Alan Garcia is about 22% of the intention of vote for President, but he has also about 25% of the seats. Mr. Umala that has about 25% of the intention of vote, has only 11 or 12% intention of vote for his members of Parliament. So, it is going to be stronger between Lourdes and Alan Garcia, and then the group of Mr. Paniagua will get some, Mr. Umala will get some, and the party of Mr. Fujimato will get some. If that is going to be a deadlock or not, I think -- I hope that they will get two terms, and that they will coordinate and consolidate, but of course with politicians, you never know. I hope that this will not take us to a deadlock, and in any event, I think the country needs all of these people to get to an agreement, no.
Q - John Bridges: Okay. Best of luck, Roque and everybody.
A - Roque Benavides Ganoza: Thank you.
Operator:
Operator Instructions:
Q - Alberto Arias: Yes, good morning, gentlemen, and congratulations on the strong results. Just a quick question with regards to Marcapunta and the exploration outside that you see at this point. It's been several years that you've been conducting all of this exploration. Do you think that the size of the resource is something that would justify a mine development, and it's from a geologic point of view, could you tell us what is the potential upside that you could see in the future out of Marcapunta? And what are the plans to uncover it?
A - Roque Benavides Ganoza: Well, we are working on having an important mine in Marcapunta. My view is that we have found a very interesting area. We have got to the conclusion that not everything is energized of course, and there are areas of copper, there are areas of gold oxide, but then in-depth we have intersected some values, higher values of copper with no arsenic. That's the reason why we are building the plant. That is the reason why we are starting production of copper in August this year and we expect to expand that concentration plant and produce far more copper than what we are producing right now. We are, if I may say, very excited about the discoveries at Marcapunta. It is a big animal, I think, and it will give us importance of prices in the future.
Q - Alberto Arias: So the copper concentrates would be commercial, with the arsenic content that they would have?
A - Roque Benavides Ganoza: Well, initially we are planning to exploit the non-arsenic copper, and if we have some arsenic, we have been talking to the smelter in Lajolla (phonetic). But essentially we plan to produce concentrate with less arsenic than the average grade that we used to have, no?
Q - Alberto Arias: And a final question, with regards to the San Gregorio project, which is also part of the Brocal, with the high zinc prices and lead price that we're seeing, do you think that there's any chance of developing that mine maybe as an underground mine so you can get around the problems of permitting with the sources rights?
A - Roque Benavides Ganoza: At this point in time we have no comment in that respect. It will be very difficult to do it, and in any event, it will take far longer, no? So at this point in time, I don't see it, but we'll keep an eye on that, of course.
Q - Alberto Arias: Okay. All right. Thank you.
Operator: At this time there are no further questions in the queue. I will now turn the conference back over to Mr. Roque Benavides for any closing or additional remarks.
Roque Benavides Ganoza, Chief Executive Officer, President, Director and Deputy Director of Yanacocha: Well, thank you very much again, for accompanying us in this conference call. I know that sometimes it's sweet and sour, but we continue working with enthusiasm in order to deliver as much value as possible. I would like to invite all of you that may be in New York, probably you have already received an invitation for our presentation at the New York Stock Exchange, 12 o’clock on Monday, the 6th. We will be presenting our results, and we will be very happy to answer further questions. In addition to that, at 4 o’clock in the afternoon we have been invited to ring the bell, the closing bell of the New York Stock Exchange jointly with all the Board Members of Buenaventura. So with that, thank you very much for attending this conference and see you soon. Bye-bye.
Operator: That does conclude our conference call. Thank you for joining us today.